Operator: Please standby, we’re about to begin. Good day and welcome to the OUTFRONT Media Incorporated First Quarter 2018 Earnings Call. At this time, I'd like to turn the conference over to Greg Lundberg. Please go ahead.
Greg Lundberg: Good afternoon everyone. Thank you for joining our 2018 first quarter earnings call. On the call today are Jeremy Male, Chairman and Chief Executive Officer; and Donald Shassian, Executive Vice President and Chief Financial Officer. After a discussion of our financial results, we'll open up the lines for a question-and-answer session. You can find a slide presentation for today's call and the earnings release on the Investor Relations page of our website. And after today's call has concluded, an audio archive will be available. This conference call may include forward-looking statements. Relevant factors that could cause actual results to differ materially from these forward-looking statements are listed in our earnings materials and in our SEC filings, including our 2017 Form 10-K. We'll refer to certain non-GAAP financial measures on this call. Any references to OIBDA made today will be on an adjusted basis. And reconciliations of OIBDA and other non-GAAP financial measures are in the appendix of the slide presentation, the earnings release and on our website, outfrontmedia.com. And with that, I will turn the call over to Jeremy.
Jeremy Male: Thanks, Greg and good afternoon everyone. Our first quarter reported revenue growth was up 2.2%. U.S. billboard revenues returned to growth including good growth in digital, U.S. transit growth was also led by strong digital revenues particularly for our new screen deployments in Boston. Growth this quarter was really a story about the strength of local advertising which remained healthy; this was true on both our billboard and transit assets; national advertising was still slightly down for the quarter. Our key operating and cash flow metrics were in line with our expectation with OIBDA up a 0.1 and AFFO down a 0.1. Also, as you may have seen last week we’ve been awarded a long-term franchise subject to final contract to manage the advertising for the San Francisco Bay area rapid transit system or BART as it’s called. We’ve mentioned this opportunity before and we’re pleased with the outcome, this is very exciting digitization project similar to Boston and New York City and solidifies our lead in the U.S. transit market. It will add run rate revenues of around 17 million to our business commencing October, which reported another point plus of growth for 2019 and we believe we will further increase this significantly through digital transformation over the coming years. All in all, it’s a decent start to the year. We are pleased to see October business pricing positive growth for the quarter. And before I give you our second quarter outlook and some more color on our digital initiatives, let's review our company results in a bit more detail, passing over to Don.
Donald Shassian: Good afternoon everyone and thank you for being on our call today. Please turn to Slide 6 which shows a high-level summary and the year-over-year performance of some of our key financial metrics. For the quarter organic revenues were up 0.8% was driven by growth in both U.S. media transit and the billboard, OIBDA increased 1.2% while AFFO as Jeremy just mentioned was down 1%. Please turn to Slide 7 we will start with an analysis of revenues during the quarter, Total reported revenues increased 2.2% and organic revenues were up 0.8%. U.S. media increased 0.9% on both a reported and organic basis. U.S. billboard organic revenues were up 0.5% compared to the first quarter 2017 but this does not reflect the true underlying billboard strength we saw in Q1 2018. We generated revenue growth and digital billboard conversions and an increase in same board yields including both static and more significantly, in digital. Billboard also saw growth in local advertising offset by slight declines in national advertising. Partially offsetting this growth, the underlying billboard business is a fact that we had a very low level of condemnations in Q1 2018. You recall these amounts we generated we have bought out of existing leases as an example, account change the Plasma World which requires removal of the billboard. Excluding condemnation revenue our U.S. billboard growth in Q1 2018 would have been remarkably better. U.S. transit and other was up 2% during the quarter on a reported basis, which is driven primarily by digital growth from the Boston market. We also saw good local growth again offset by a national decline. In other, reported revenues were up 19.1%, principally reflecting the impacts of the new accounting standard on our sports marketing operating segment and our acquisition of the digital billboard portfolio in Canada last June. I’d like to spend a moment on the accounting change. In the first quarter of 2018, we like every other public company had to adopt the five Bs principle-based guidance addressing revenue recognition. We have five new standards in the first quarter as require without any retroactive or restatements of prior years. The adoption of this guidance did not impact revenues and our billboard business nor in our transit business. But it did slightly impact our sports marketing operating segment resulted in the recognition of additional revenues and also expenses of $1.8 million with no OIBDA impact. Please turn to Slide 8 for an overview of expenses. This presentation isolates some drivers that changed for the quarter, we got a better analysis of all underlying business. Our reported expenses, excluding stock-based compensation were up 2.5% year-over-year for the quarter. So, a couple of items I’d like to call out for you. First, the other segment higher expenses in 2018 relating the accounting change in our sports marketing operating segment I just mentioned, secondly the June 2017 acquisition in Canada and third, one-time expenses in last year’s first quarter for cost consultant and to amend and extend our credit agreement. As you can see at the bottom of the charts, our controllable expenses therefore were up $4.5 million to 1.8% for the quarter. It is important to recognize that our strategic business development expenses were $5.3 million during the quarter up $2.9 million year-over-year and are related to the development of our location-based audience selling program and other initiatives associated with incremental new revenue streams. This increase is consistent with what we previously communicated that such expenses will increase in 2018 by $2 million to $3 million each quarter. Corporate costs decreased due to lower compensation related expenses and some one-time expenses in 2017 including professional fees, and costs related to amending and extending credit agreement. On Slide 9 you can see that our adjusted OIBDA showed a positive growth of 1.2% for the quarter while margins were essentially flat. Obviously if one were to exclude the increase in strategic investment expenses this quarter OIBDA would have been up in the mid-single digit range. Turning to Slide 10, capital expenditures were $16.8 million in the quarter or 5% of total revenues, growth spending was 4.1% of total revenues and maintenance was 0.9%. During the quarter we built or converted 14 digital boards in the U.S. and 10 in Canada and continued the expansion of small format Liveboards primarily in Boston. For 2018 guidance our capital expenditures is unchanged at $75 million with maintenance at $20 million to $25 million and growth at $50 million to $55 million. As I mentioned digital yields were up in the quarter and we continue to see good IRR's on conversions. Please note that this 2018 CapEx guidance does not include the deployment of digital displays under our new MTA transit agreement in New York. This is because the assets will ultimately belong to the MTA so our spending is not accounted for or categorized as capital expenditures or a part of property plant equipment. With this quarter's reporting there is a new line item on our balance sheet entitled prepaid MTA equipment deployment costs. And our two new line items are cash flow statements related to the MTA. First in the working capital section there’s a new line item called increase in prepaid MTA equipment deployment costs, these totaled $7.2 million in the quarter, and secondly, in the investing activities section there’s new line called MTA franchise rights. These totaled $1.4 million in the quarter. Additional details regarding the MTA are on slide 11. We announced last quarter, that we expect to deploy over 3,000 displays during the year and that our spending for the deployment of these displays and for down payments on the 2019 equipment being manufactured would be approximately $100 million. We’re still in the very early stages of the deployment of this multiyear contract. We’re selecting sites and doing electrical design work and other planning with the MTA. Down payments and the purchase of screens will occur in the second quarter, the initial screen deployments will be later this spring and a more expansive deployment will commence in the back end of this year. Please turn now to Slide 12 to look at AFFO. One of the key drivers of the slight decline in AFFO this quarter was higher interest expense. This has caused higher outstanding debt balances and rising interest rates that impact a third of our debt structure as well as from increased letter of credit fees arising from our new MTA contract. As we look forward we expect continued improvement in advertising, especially on billboards to increase the AFFO growth rate and drive us to our previously announced guidance of low to mid-single digit growth for the year. Slide 13 shows our last 12 months AFFO of $277.2 million and a dividend payout ratio of 73%, which coincidently is also the average dividend payout of the major publicly traded REITs. Our adjusted free cash flow payout ratio was 92%. This is a significant sequential improvement from our LTM coverage in Q4 2017, as we have lacked the one-time issue we have discussed previously related to the timing of MTA payments last year created by the various MTA contract extensions. Please note that adjusted free cash flow excludes MTA equipment deployment costs from our free cash flow calculation in order to give you a better understanding of the true cash flow of underlying business. Disappointment has been funded with debt and will be recruited from incremental revenues generated under the MTA contract. On April 25 our board of directors approved a quarterly cash dividend of $0.36 per share payable on June 29, to shareholders of record of the close of business on June 8. Slide 14 shows an overview of our debt and liquidity. As of the end of the quarter our liquidity position was $384 million, including $52.5 million of cash and $331.5 million of availability on our $430 million revolving credit facility net of outstanding letters of credit and outstanding balance of $10 million. An additional source of liability is our $300 million at the market or ATM equity offering program we put in place in November. There was no timeline or usage requirement on the ATM and no shares have been issued to date. Our net leverage ratio at March 31 was 4.9 times up slightly from last quarter. We remained focus on our goal to reduce this to our long-standing target range of 3.5 to 4 times which will be achieved through growth in OIBDA and debt paydown. Let me now turn it back over to Jeremy.
Jeremy Male: Thank you, Don, and moving onto Slide 16. Let me now give you some color on our second quarter, which represents our view at this point in time. We expect revenue growth to be up in the low single digits reflecting an increased growth rate in billboard and continued strength in local. We are still thinking about our longer-term growth, as the continued expansion of digital displays in both transit and billboard. As you all know digital is a bigger part of everything we all do every day and it's certainly a bigger part of advertising spend. For out of home digital is becoming more than half of the revenues in some other important markets around the world. On Slide 17 you can see a top overview of OUTFRONTs current digital assets and revenues. During the first quarter of 2018 digital was 15.5% of our total revenues up from 12.6% in the same quarter last year. But the transformation of the business continues as expected with digital revenues as an underlying driver and an increase in percentage of our total business. Looking at the composition of this growth. Our digital billboard inventory was up 22% during the year through both conversions and acquisitions, with 1,015 boards at the end of the first quarter and revenue growth of 26%. Importantly on a year-over-year same board basis, I can tell you that almost half of the U.S. growth came from an increase in yield and the balance came from new inventory deployed. Small format digital transit displays ended the quarter at just over 1,300 units and revenue growth of 25%. The key driver of the revenue growth was from the deployment of video Liveboards in Boston where you can see a bit more detail on Slide 18. We announced the MBTA win in late 2016 and took over the business at the beginning of 2017. As of March 31st, this year we had 330 Liveboards in operation and we’re half way through our total deployment. For the quarter our digital revenues more than doubled on these new displays. Importantly, the digital displays are bringing new advertising clients that did not previously advertised in the MBTA system. The displays are also seeing previous advertisers commit to larger overall plans that include both static and digital elements which helps drive strong total growth for the franchise. We’re pleased with the results we’re seeing in our digital portfolio and this is important in the context of other digital deployments, particularly in New York MTA. You’ll recall from last September’s conference call on the MTA that we expect our revenue to double over a 10-year period. Our current experience in Boston is certainly a positive indicator for our New York contract as we commence the digital rollout. In closing, I am feeling good about 2018, our billboard revenue which is the largest growth engine in the company is improving, local continues to demonstrate growth. The uncertainty of winning the MTA contract is behind us, and we’re working closely with the MTA on the launch plans for later this year. Our digital assets are performing well and will be an increasing growth driver for the business, and we’ve also added San Francisco to our transit growth story. Before moving into Q&A, this is likely to be Don Shassian’s last quarterly call with us, having announced his retirement from OUTFRONT in March. We want to formally thank him on this call for his hard work and dedication, it’s been a privilege working with him and he’s is contributed inordinately to this company. Looking forward we’ll be making announcement with regard to his successor in due course. So, with that operator, let’s open the lines for questions.
Operator: Thank you. [Operator Instructions] And our first question will come from Ben Swinburne from Morgan Stanley.
Ben Swinburne: Jeremy can you talk a little bit about the timing of the MTA build this year and move through the year I know you are going to be putting deposits down in Q2. But how much of the units you already expect to be put in place in calendar '18 and maybe [how the signal] of the savings through the quarters of CapEx and any revenue expect? And then Don just before we let you go, I’m just curious as you think about your balance sheet and the rate environment we are in today, does it make sense to consider swapping in it and fixed this to mitigate interest rate risk? How you guys are thinking about your floating rate debt at a high level?
Jeremy Male: So, let me take the first part of the question and then hand you over to Don. In terms of how we anticipate the physical build this year with the MTA, we are going to be undertaking sort of test deployments, in a couple of sessions in Brooklyn around about April time. We are going to be starting to install screens if you like in the normal course as we get towards the back end of the year as we said. And the actual schedule still moves around a bit but right now we are still anticipating that we could build around 3000 screens this year, as I said very much sort of backend float. But that won't necessarily the buildout timing doesn’t necessarily reflect the cash out timing because we will be cashing out those screens later this year and we gave that somewhat casual figure of 100 million business that will also relate to down payments on products that’s actually going to be installed next year. So, you can't actually -- as I said the build doesn’t necessarily reflect the cash out.
Ben Swinburne: And just as follow up, how quickly can you start selling that inventory once it's in place?
Jeremy Male: Oh, right away. And I think we have already seen if you like the difference that those are the small number of screens has been making for us in Boston. There is no reason why we are looking for launch or advertising partners for the screens that we are going to be putting into Brooklyn. So, as I said its relatively small beer and so we start getting towards that quarter, it's much more of a 2019 event, really in terms of timing to think about strong incremental revenues. But we can start generating revenues as soon as they are in.
Donald Shassian: I think you need to really think about the build its not to get to a cadence, we are restarting build its going to have some trials and then in like and once the cadence of build in many stations at the same time is going to enable that to really start ramping up. I think that this year is going to be more of a learning curve to get that really going. To your second question then on balance sheet yes, we are looking at ways of hedging or pushing of that term loan to lock in some REITs, yes.
Operator: Our next question will come from Alexia Quadrani with JPMorgan.
Alexia Quadrani: Just a couple of question. The first one is following up on the acceleration in growth that you are seeing in the billboard business in Q2. I guess any more color on the drivers of the component of that pickup and any influence or any benefit from political spending in there? And then sort of a follow up question or second question, that maybe you can provide a little bit of color on the terms of the structure of the new San Francisco contract.
Jeremy Male: So, as we look forward the acceleration that we are seeing is very much from local advertising. When we look at our local advertising portfolio across the country it's worth saying that in Q1 pretty much all of our markets were up, and as we look at Q2, as we said in the call, we’re feeling more positive, it’s actually not driven by political, political for us given that we’re far more focused towards the larger market, and tend not to be the same driver for our businesses and for other operators and that was always the case, so we didn’t budget particular increase in political because actually they’re somewhat de minimis part of our overall portfolio.
Donald Shassian: On [indiscernible] we’re really excited about this, San Francisco is a great market that is already a pretty important business for us, on the West Coast, is a great audience on the transit system, and with this we’ve got New York, we’ve got Boston, we’ve got LA, and obviously San Francisco is a great one and Chicago is coming up for bid in 2019. Structure -- the contract is not done yet, it’s been awarded but we start to negotiate the contract and some things got to be worked out, contracts are about 10.75 quarter years with two one-year extensions, and we have to commit the build approximately 600 screens, the old contract on the incumbent was a 70% rev share, this is a 55% rev share, but similar to the MTA once we have recouped the investments, then that 55% will jump up to 70%. So very excited about it. Our CapEx that we estimate is approximately $20 million over about four years. But again, the contract still has been negotiated and a lot of Ts and Cs have to be worked out. Does that help?
Operator: Our next question will come from Marci Ryvicker with Wells Fargo.
Marci Ryvicker: I have a couple of questions, first you gave a revenue number for San Francisco but not an EBITDA number, so I am not sure if you can give us that in addition to the 17 million in revenue?
Jeremy Male: So, if you think about the transit business we typically EBITDA is sort of 20% range of that order.
Marci Ryvicker: And then the lower condemnation proceeds, is this the first time this has happened because it’s the first time this is called out and Don you said things were meaningfully better excluding this, can you quantify that for us in the first quarter?
Donald Shassian: Condemnation revenue Marci for us has usually been about $1 million to $2 million quarter for a number of years, first quarter of ’17 was a little bit higher than that, and first quarter of ’18 was like almost nothing, so we had a meaningful change for the quarter and really growth drove billboard growth could have been significantly higher if we were a little bit less than 1%, several percent higher.
Marci Ryvicker: And is this going to continue in Q2 now, is that impacting as well?
Donald Shassian: We’re not seeing -- we’re seeing little levels of condemnations right now for the -- for the stuff that works its way through like any sort of billboard conversion, but right now I think we’re seeing low levels of combinations in the next couple of quarters.
Marci Ryvicker: And then Jeremy on the second quarter pace, any comment you can make on national, is national actually positive in Q2 or is it still slightly down?
Jeremy Male: So, if we look back to Q1, our national revenues bounced around a lot. One thing that typifies national the revenues are lumpy and they are light. And as we ended up Q1 we were down I think two points something like that. So, as we look forward right now we just think that as of May 3 we don’t want to go overall SKUs on national right now, we still got a number of booking weeks ahead of us as I say because it looks late. I don't think it would be prudent to call it right now. And you might also noticed this as we talked pretty much about billboard in that guidance. Our transit revenues are actually skewed very much towards national which is -- that’s also the reason that why we really want to call transit out right now. So, as I say we are telling it as we see it. Local remains strong and billboard we can tell is as improving.
Marci Ryvicker: And then the last question is the initiative spend, it was I think 5 million in the first quarter. Is it -- have you weighted for the first quarter? I thought we were looking at two to three per quarter so I just want to make sure that we have everything in our expenses.
Jeremy Male: The first thing is the 2 to 3 was an increase over and above last year. But it is fair to say there were couple of one offs in Q1. So, it's unlikely to be at quite at that rate as we look Q2.
Operator: Our next question comes from Jason Bazinet with Citi.
Jason Bazinet: You guys did a good job managing the expenses in aggregate but the billboard property lease expenses and it goes up almost 7% year-over-year. I was just wondering is that just a natural outgrowth of digital growing more briskly or was there something unusual in the year ago period any color would be helpful?
Donald Shassian: There is a -- last year we had talking whole lot about the New York transit contract and that’s all economics, we have been talking of a lot of was the MTA billboard contract, which also was renewed at the end of last year. And that rev share went up and that had an impact on that. And I think it would also has an impact on that I think I’m not sure you are looking at consolidated you are looking U.S. consolidated it is also up because of the acquisition of billboards in Canada. Those two items really will drive both of those.
Jeremy Male: Adding on to what Don said thinking about that billboard contract. What that actually came with was the opportunity to develop a significant number of new digital boards in the New York DMA. And looking forward with the length of that contract and with the portfolio we already have, it puts out from really in a very strong and enviable position with regards to our digital product in the New York area.
Donald Shassian: Jason I was just going to add that if you are thinking about how do you model that going up forward, I think as a percentage of revenue billboard property lease cost are pretty much in the same ballpark. So, if the revenue is going to grow from most part I think it's going to be there, so there will be a little bit of an increase if you are looking year-over-year next quarter as well.
Operator: Our next question will come from Drew Borst from Goldman Sachs.
Drew Borst: I had a couple of questions about your U.S. boards, in particular I was hoping you might be able to elaborate a little bit more on the digital growth. I think if I have the numbers correct, your U.S. digital billboard business is up 19% and last year was only up 6% so I was trying to better understand what’s really driving that acceleration and also understand if you think it's sustainable through the balance of the year?
Donald Shassian: Not sure about those numbers, but I think the digital -- you got digital billboard growth, you got digital transit, digital billboard you got both conversions and we’re seeing very healthy improvements in yields on the same board basis on digital, both of those is driving the billboard side on digital growth. On the transit side you have this deployment of these new Liveboards in Boston, in Washington and elsewhere and that’s also driving the change and we’re also seeing the same thing in Canada as we made acquisition of substantially all digital boards as well. So, all those factors are driving more of our revenue from static to digital, and I think it's -- you’re seeing us continue to make those sorts of investments and I think as we look to Q2 its continue to do the same.
Drew Borst: Maybe I’ll take it offline but you disclosed in the appendix of the slide the growth in digital boards just in the U.S. and but we can take it offline. And then the static -- the U.S. static inventory continues to decline, that kind of a low single-digit, as you think about that business, over the next couple of years I mean do you think that it continues at this pace or is there some risk that you just might continue to accelerate?
Donald Shassian: So, if we look at Q1 I think it’s important to say that same board yields in analog were actually up, so I think that’s one point to make. I think it’s also worth remembering that a couple of other things are going on, one, every time that we convert a board, or for the most -- well, which is a significant part of our digital expansion we are taking down an analog board and typically you’re digitizing great boards, so you’re losing out of our analog board total count, a number of digital signs, and the other point is that number of analog boards tend to be in areas and that are going through some sort of urban renewal, so if you sort of think of a classic analog board in a car lock and in the top 20 DMAs right now, quite often on that car lock, a 20 storey building is going up, so in that case we’re taking down these boards, so that will impact but I think the key point there is that actually yield was up, in Q1 on our analog business.
Drew Borst: So, you’re getting rate but the decline in revenue is I guess the function of conversions and losing units and mix. The other question I asked about we don't get geographic revenue very often from you guys, we get it in the K, and one other things that we noticed in the K was the New York billboard was down quite a bit in 2017 and as I understand it was due to some loss boards but I guess the question I’m wondering are you back now to growth in New York billboards and starting in 1Q or is that something you expect to see you know later on like when do you lap these loss boards?
Donald Shassian: We have some loss boards that impacted certainly the first half of last year when you look back to the previous year. I think when you look at our SKU, the SKU for the revenues as a company we are extremely weighted to New York, and MTA, and our New York and LA I’m sorry. And New York and LA also carried significant amounts of national advertising that’s where national advertising dollars go. So, if national advertising is a little bit weaker which it was last year as we know then that’s going to have a disproportionate impact on New York, compared to our other markets. If we look at this year our local revenues for example in New York were up in our billboard business.
Operator: Our next question will come from Jim Goss from Barrington Research.
Jim Goss: I was curious about a comment you made about the new clients sort of coming up in Boston and the digital environment. I’m wondering if you can go into a little more of what type of new clients are these, and are they having an impact on demand and pricing and is this something you're seeing generally in other areas of the country aside from with these sorts of conversions?
Jeremy Male: The comment is emanating from our Boston department, it is not actually replacing a lot of static boards. Our static boards that we had when we took over that contract have essentially been in place. And the static revenue on those static boards is up. We have now deployed several 100 digital and that revenue is growing and that’s obviously bringing more and more advertisers and bigger buys in and that’s what we are seeing and obviously it brings more that was just great.
Jim Goss: And can you characterize if they are just additional clients or of the same type you have been dealing with or are there some different categories as you think you are getting into that may have a broader picture.
Jeremy Male: So, when we look at it the fact that we can now if we can give advertisers they form a creative way of displaying. We are seeing that people are taking more creative way of buying. So, people are buying some digital assets and analog assets. Also, what that drove with either incremental buyers and some new clients coming in was sort of like Boston was going to 20% up for the first quarter. And that's why we are making the comments about that generally being a very good picture as we look forward to other digital upgrades as we look forward to the MTA and obviously bought that we talked about earlier on. As we go forward we believe that -- if you think about the way you buy our transit business for example in New York right now, there is a minimum buy effectively 50 locations per month. And in the future, you will be able to buy as time goes on a single location arguably for a couple of hours. So, when you look at the type of advertiser, where suddenly budgets become available to us, simply wouldn’t be available to us today we think will significantly is going to expand the breadth of advertiser base as we built these programs out.
Jim Goss: And one final thing, are you tending to find that on digital boards that one client made by all of the say seven opportunities in the board and use different product categories or services or is it generally going to be a variety of different advertisers sharing that space?
Jeremy Male: For the most part Jeremy it’s about advertisers sharing that space, on occasions we do get advertisers that want to dominate on the board but for the most part it’s mostly advertisers.
Donald Shassian: If I may, as we’re sort of closing the call. I appreciate Jeremy’s comments in the prepared remarks about me, and I appreciate Marci calling out that I am leaving the business, retiring from the business, I just want to say, it’s been a pleasure working with Jeremy and the team, it’s been a pleasure working with all the equity analysts and debt analysts and all our institutional investors, it’s been -- I have enjoyed this very much, I think we’ve made a lot of progress, in creating some value here, and I think the business is very well positioned for transforming in this digital age and we thank you very much for your support over the past number of years. So, thank you very much. Jeremy?
Jeremy Male: Well thanks Don for that. I understand it’s your 70th quarterly public company conference call. So, congratulations on that milestone and to everyone else on the call, thank you for your questions and your time today. And we look forward to seeing many of you at Investor events in the coming weeks. Thank you very much.
End of Q&A:
Operator: That does conclude our conference for today. Thank you for your participation.